Operator: Good morning, everyone. And welcome to the TECSYS Fourth Quarter and Full Year Fiscal 2021 Results Conference Call. Please note that the complete annual and fourth quarter report including MD&A and financial statements were filed on SEDAR after market closed yesterday. All dollar amounts are expressed in Canadian currency, and are prepared in accordance with international financial reporting standards.  Some of the statements in this conference call, including the question-and-answer period may include forward-looking statements that are based on management's beliefs and assumptions. Actual results may differ materially from such statements. I would like to remind everyone that the call is being recorded on Wednesday June 30, 2021 at 8:30 a.m. Eastern time. I would now like to turn the conference over to Mr. Peter Brereton, Chief Executive Officer of TECSYS. Please go ahead, sir.
Peter Brereton: Thank you and good morning, everyone. Thank you for joining us on today's call. It goes without saying that fiscal 2021 was a year like no other. Over this time, COVID-19 has had a profound effect on the entire world. Unprecedented challenges tested our business and industry in ways we could never have imagined last year at this time. The entire Tecsys team came together not only to successfully navigate these challenging times, but also to position the company to emerge from this global crisis even stronger. As we will cover in detail we closed Q4 with our nine straight record quarters in terms of revenue and the strongest pipeline in company history. I want to thank all our employees and partners around the world for the hard work and dedication they demonstrate every day, to support our customers, one another in their communities. It has been inspiring to see the organization rally together. Throughout our team is focused on serving our customers delivering on our commitments and bringing new accounts into our customer community. I'm incredibly proud of what Tecsys has been able to accomplish, reflected in our ability to sustain growth trajectory before, during, and now after the pandemic even stronger both year-over-year and quarter-over-quarter. After market closed yesterday, we issued our fiscal 2021 fourth quarter and year end financial results. And a copy of those results is available on SEDAR and on our website at Tecsys.com. The full year results are audited. Joining me today is Mark Bentler, our Chief Financial Officer. I will start by summarizing key events with fiscal 2021 and results of operations. Mark will then walk us through the financial results in more detail. And finally I'll comment on our outlook followed by a Q&A session. First, I'd like to review the continued positive momentum in our transition to a SaaS oriented organization. The appetite for SaaS continues to accelerate and we are very pleased with the progress we are seeing. Transitioning to SaaS has been a strategic initiative for Tecsys and continues to see strong results and stronger momentum. SaaS revenue growth was up 107% in Q4, and up 113% year-over-year. 82% of software bookings were SaaS in fiscal '21 versus 77% prior year. SaaS revenue now represents 36% of total cloud maintenance and subscription revenue up from 22% last year. The pace at which our SaaS business has expanded is a healthy blend of new customers or new accounts and existing accounts, choosing to renew their engagement with Tecsys and convert to a SaaS environment. We see this as a strong endorsement of our SaaS offering and more holistically of our sustained value to our customers. We plan to continue this two pronged approach of SaaS first selling to prospects and SaaS migration selling to base accounts. With regard to bookings, Q4 SaaS bookings were the second highest quarterly SaaS bookings in company history, with only Q4 of last year being higher, and those were essentially pre COVID sales driven. This impressive SaaS momentum solidifies our thesis for value creation on a macro level. We have learned that not only the SaaS improved the quality of our revenue streams; it has also made it easier for both new and existing clients to buy our software solutions. We see this positive trend continuing and along with our pipeline believe this bodes well for the future. The growth of our partner network continues to provide excellent opportunities to Tecsys. We continue to invest in building a world class strategic alliances program and to provide for our partners better governance, co marketing opportunities and assets, accreditation tools and resources. Our success in fiscal '21 was influenced and amplified by our growing lineup of partners. And we are very pleased with our channel success as a vehicle for global influence, efficient scalability, and rapid brand propagation. We are seeing early dividends of our investment in this effort; in fiscal '20 partner influence new account wins represented 22% of bookings. This jumped to 46% in fiscal '21. The effects of the pandemic offered Tecsys what we perceive to be an acceleration of market opportunities. We have responded to this by increasing investment in channel and direct sales development and marketing programs to boost our ability to gain more market share rapidly. This has proven to be a successful strategy. We continue to dominate in the healthcare supply chain space. We anticipated the stress of COVID on the healthcare sector and on their supply chains in particular, would provide additional opportunities for us to partner with new and existing customers to address immediate and long-term challenges.  In this respect we delivered. We helped a major US health system establish an emergency offsite warehouse to manage its unprecedented volume of PPE and COVID related supplies. We supported multiple accounts to enact their emergency preparedness plans within their warehouses. We ramped up services for pop up and reserve warehouses, and our consolidated service model was applauded as significant value add in the face of these disruptions by long-term partners Parkview Health, Mercy Health and others.  At the end of the day, Tecsys proved to be among the best cloud-based solutions available in the market. And we were able to turn that into revenue. Meanwhile, the retail sector continues to undergo widespread slowdown with significant bandwidth still dedicated to short-term tactics over mid-term strategy. Retailers pursuing digital transformation at different paces has widened the gap between retailers able to satisfy customers through ecommerce channels and those still struggling to adjust to post pandemic digital adoption rates. We expect this market to come to life as the retail industry as a whole reemerges from hibernation. We believe that retailers will invest heavily to bridge this digital gap and that as the retail industry shifts from survival mode to revival mode, our investment in R&D as well as sales and marketing will position us favorably moving forward. The complex distribution market remains a solid source of growth in revenue with positive momentum towards SaaS deployments.  In addition to several new marquee logos, including Canada's largest healthcare logistics provider, and the Canadian Bank, we have secured new booking from an international automaker and a global logistics provider among other notables. We have also migrated customers to SaaS environments, including one longtime customer who reinvested in Tecsys in order to expand operations from North America to Europe, demonstrating a solid endorsement of the Tecsys platform. While we tend to look at year-over-year performance, we’re seeing a number of positive in year trends that are particularly important as COVID eases and the economy opens up again. The pipeline shift that we noted last quarter towards more new business versus base business is now manifesting in new customer business driving 73% of SaaS ARR bookings in Q4. Included in that new business were two new IDN wins in the quarter. Our sales pipeline continues to suggest that solid new business bookings should continue.  All three sectors contributed to our performance this year with expansions and renewals by existing customers shoring up the slower pace of new account growth. Our ARR is up 18% year-over-year on a constant currency basis, but was impacted by the weakening US dollar. Since about two thirds of our ARR is in that currency. Adjusted EBITDA is up by $5.9 million or 58% year-over-year. As our business grows, we continue to add to our headcount to keep pace with our global headcount up 27% over last year, we continue to invest in operations fairly aggressively. In Q4 alone, we expanded sales and marketing headcount by 12% and continue to invest in development, delivery and support capacity. We should note that this will add to our run rate cost unfavorably impacting profitability, especially as exchange rates have shifted quite substantially, creating some margin headwind and travel costs are certainly expected to go up as COVID restrictions ease. We continue to navigate remote and in-person work and anticipate a well-balanced return to work in the weeks and months to come. While remote implementations have been successful once travel is more normalized, we need to evaluate how best to preserve customer satisfaction, and speed up our time to go live. We are observing some degree of customer fatigue with a full implement from home model. And we need to make sure that we do not overburden customer resources to maintain customer satisfaction levels.  Mark will now provide further details on our financials for the year and the quarter.
Mark Bentler: Thanks Peter. We're pleased to be able to report record revenue for both the fourth quarter and fiscal year '21. Recall that our fourth quarter and fiscal '21 year ended on April 30. I will now review the quarter and then after that the year-to-date performance in more detail. In the fourth quarter of fiscal '21, total revenue was a record $32.4 million, 17% higher than $27.7 million reported for Q4 '20 in spite of foreign currency headwinds. The weaker US dollar partially offset by the company's hedging of US revenue gave rise to a net unfavorable foreign currency related revenue variance of $1.3 million in the fourth quarter of fiscal 2021 compared to the same quarter last year. Our largest revenue streams, cloud maintenance and subscription revenue and professional services revenue both experienced strong double digit growth, driven primarily by SaaS deployments, our cloud maintenance and subscription revenue increased 30% year-over-year to $13.8 million in Q4 '21 from $10.6 million in Q4 the prior year. SaaS revenue in the fourth quarter of fiscal '21 was $5.5 million, up 107% or over $2.8 million compared to the fourth quarter of last year. SaaS revenue represented 40% of total cloud maintenance and subscription revenue in Q4 of '21. And that's up from 25% in the same quarter last year.  Professional services revenue for the fourth quarter was $12.1 million, up 12% from $10.8 million reported for the same quarter last year. In the fourth quarter of fiscal '21, proprietary products revenue, which we define as revenue from internally developed products, including proprietary software sold as perpetual licenses, and proprietary hardware technology products amounted to $1.3 million. That's down $0.4 million or 21% compared to the same period last year. This decline resulted from a decline in perpetual license revenue as we continue to focus on SaaS. Third party products revenue increase in the fourth quarter by 19% to $5 million from $4.2 million reported in Q4 of '20. As mentioned by Peter earlier, fourth quarter SaaS bookings measured on ARR basis were the second highest quarterly SaaS bookings on record at $3.5 million, second only to the fourth quarter of fiscal 2020, which was 14% higher at $4.1 million, and which were largely pre COVID driven sales. Importantly, Q4 fiscal '21 SaaS bookings were up $2.5 million, or 252% sequentially from Q3. Perpetual license bookings in the fourth quarter of fiscal '21 were $0.8 million compared to $1.4 million in the fourth quarter of fiscal '20.  Professional services bookings in Q4 '21 were down 58% to $8.7 million from a very high $20.7million in Q4 of '20. Professional services bookings are in part linked to SaaS subscription bookings in licensed bookings and are subject to timing. Q4 2021 bookings were negatively impacted by timing of signature on a large professional services order associated with a fourth quarter SaaS deal. The SaaS order was signed in the fourth quarter of fiscal '21. But the professional services order was signed in the first quarter of fiscal '22. Q4 of 2020 bookings were also positively impacted by a large multi year professional services order associated with the Q4 2020 SaaS deal. At April 30, 2021, our professional services backlog stood at $33.6 million. That's down slightly from $35 million at April 30, 2020. Our professional services backlog remains solid, and we believe this backlog will continue to support strength and professional services revenue in the coming quarters. Total ARR at April 30, 2021 was $52.5 million, up 9% compared to $48.1 million at April 30, 2020 and up 3% from $50.8 at January 31 2021. A significant amount of SaaS backlog and ARR is denominated in currencies other than Canadian dollars as Peter mentioned. Foreign exchange movements, primarily the weakening US dollar had a $1.5 million and $3.9 million negative impact on ARR during the quarter, and year ended April 30, 2021, respectively. On a constant currency basis, ARR grew 6% sequentially from Q3 to Q4, and 18% for the year ended April 30, 2021. Recall that SaaS backlog represents revenue that we expect to recognize in the future related to SaaS performance obligations that are unsatisfied or partially satisfied at the reporting date. This is also sometimes referred to as SaaS remaining performance obligation or RPO. On April 30, 2021, SaaS backlog was $65.7 million. That's up 26% from $52 million at April 30 2020, and up $8.1 million or 14% sequentially compared to January 31, 2021. For the fourth quarter, total gross profit increased to $15.7 million, up 22% from $12.9 million reported for Q4 of '20. Total gross profit margin increased to 49% in Q4 of 2021, compared to 46%, reported in Q4 of 2020. This increase is driven by a higher service margin and tampered by a lower mix of license and higher mix of third party hardware. Switching now to our expenses for the fourth quarter. Operating expenses increased to $13.1 million, higher by $0.8 million or 6%, compared to $12.3 million in Q4 of 2020. While we continue to invest in for growth, we also continue to see lower travel costs in Q4 of 2021. With COVID-19 travel restrictions currently easing up in the United States and Canada, we expect travel costs to increase in the coming quarters. As Peter mentioned, we also expect runway costs to increase as we continue to invest for growth. Profit from operations was up 343% to $2.6 million compared to $0.6 million reported for Q4 last year. The increase in profits was result of higher levels of professional services and cloud maintenance and subscription revenue, as well as lower travel costs of this provided stronger margin contribution and was partially offset by lower product margins, higher R&D costs, and higher sales and marketing costs. Adjusted EBITDA was $3.9 million in Q4 of '21, up 101% compared to $2 million reported for Q4 last year. Again, strong cloud maintenance and subscription as well as professional services contribution were the performance drivers. Net profit was $2 million or $0.14 per basic and fully diluted share in Q4 of '21, compared to $0.4 million, or $0.03 per basic and fully diluted share reported for the same period in fiscal '20. Now I'll provide details on full year fiscal 2021 performance. Total revenue in fiscal year 2021 was $123.1 million, up 17% from $104.9 million reported for the previous fiscal year. This growth was organic, and was led by SaaS and professional services revenue. In comparison to fiscal 2020, the company's partial hedging of US revenue more than offset the decline in the value of the US dollar, giving rise to a net favorable foreign currency related variance of $0.4 million. Lower reimbursable customer related travel and fiscal 2021 due to COVID-19 gave rise to an unfavorable reimbursable expense revenue variance of $1.8 million compared to fiscal 2020. Adjusting for these two items, fiscal '21 revenue growth would have been approximately 19%. Cloud maintenance and subscription revenue was $52.9 million, up 29% from $41.1 million reported for fiscal year 2020. This increase was driven primarily by SaaS; SaaS revenue, which is included in cloud maintenance and subscription revenue increased to $19.2 million in fiscal 2021, up 113% from $9 million in fiscal 2020. SaaS revenue in fiscal 2021 grew to 36% of total cloud maintenance and subscription revenue, up from 22% in fiscal 2020. SaaS subscription bookings increased 9% to $9.5 million in fiscal 2021, compared to $8.8 million in fiscal 2020. In the first two quarters of fiscal '21, a greater proportion of our bookings were from base customers. We saw this trend shift in Q3 and Q4 with a higher proportion of our bookings coming from new customers. Professional Services revenue increased to $47.4 million in fiscal year '21, up 17% from $40.6 million in fiscal 2020. Professional services bookings were down 12% to $44.8 million in fiscal 2021 compared to $50.79 million in the same period last year. As I mentioned previously, our professional services backlog remains solid, and we believe this backlog will continue to support strength and professional services revenue in the coming quarters. For fiscal year '21, proprietary products revenue declined 3% to $5.2 million from $5.4 million in fiscal 2020. Perpetual license bookings in fiscal '21 were $4.3 million, compared to $4.7 million in fiscal '20. We expect the license bookings will be generally lower in the future as the shift to SaaS continues, and this will have a negative impact on operating profit in the near term. For the full year fiscal 2021, third party products revenue increased 10% to $17.5 million from $15.9 million in fiscal '20. Total gross profit increased to $60.6 million. That's up $10.3 million or 20% in fiscal '21 compared to $50.3 million in fiscal 2020. The total gross profit margin increased slightly to 49% compared to 48% reported for fiscal 2020. The increase was driven by higher services margin of 52% comparison to 51% last year, partially offset by a lower product margin of 37% in fiscal '21 compared to 40% at fiscal '20. Now turning to our operating expenses. For the full fiscal year '21, operating expenses were $49.9 million, an increase of 10% compared to $45.6 million reported for the previous fiscal year. This increase is mainly attributable to added personnel expenses, partially offset by lower travel costs. We continue to invest in sales and marketing as well as R&D to support growth. Reduced travel spends during the year which was driven by COVID-19 travel restrictions resulted in a year-on-year decline in operating expenses of approximately $2 million. For the full fiscal year 2021, profit from operations was up 127% to $10.7 million, compared to $4.7 million reported for fiscal 2020. For fiscal '21, adjusted EBITDA was $16.2 million, up 58% compared to $10.3 million reported for fiscal 2020. Net profit for fiscal '21 was $7.2 million, or fully diluted EPS of $0.49 a share compared to $2.3 million or $0.18 per share for fiscal 2020. Finally, we ended the year with a strong balance sheet position. At April 30, we had cash and cash equivalents and short term investments of $45.9 million compared to $37.5 million at April 30, 2020. We had debt of $9.6 million at April 30, 2021 compared to $10.8 million last year. And finally, net cash from operating activities for fiscal '21 was $19.1 million compared to $10 million last year. I will now turn the call back over to Peter to provide some outlook comments.
Peter Brereton: Thanks Mark. We entered fiscal 2022 with the strongest balance sheet backlog and sales pipeline ever. As demonstrated by the bookings which accelerated in the latter part of the year. We believe that the market conditions are growing more favorable as the economy normalizes and our position in our key markets is strengthening. We are well positioned at the nexus of two urgent market opportunities in healthcare and the digital economy, where the supply chain has become a significant focus for strategic improvement. This puts Tecsys in an enviable position to capitalize on the supply chain modernization that is now underway. With revenue streams and sales pipeline diversified across three sectors, we are encouraged by the potential for ongoing performance, the early signs of which appear in the latter part of the past fiscal year, in particular, with the return to strengthen new customer bookings, showing a promising upward projection as the economy reopens. On the healthcare front, distressed fractures in the healthcare supply chain were intensified by the pandemic. The monolithic and outdated supply chain systems installed in the sector showed significant signs of weakness and provided additional opportunities for us to partner with new and existing customers to address immediate and long-term challenges. Looking forward, our own pipeline reveals the massive opportunity ahead. The objections to technology that once dominated the sales process have been largely replaced with strategic conversations about how to mitigate risk, driving efficiency and leverage data more successfully. In the face of unparalleled disruptions, Tecsys proved to be among the best cloud based systems on the market and capable of handling the logistical demands of a modern healthcare supply chain operation, while adhering to regulatory and clinical requirements. We will continue to lead in this space and capitalize on this sizable market. Turning to converging distribution, we are confident in being able to take advantage of a shifting landscape that is demanding a greater degree of complexity. The pandemic accelerated existing trends in digital adoption, which has been driving short term instability but that is developing into boardroom discussions around future resiliency and system modernization and an uptick in sales activity in the latter part of the year. And top of funnel pipeline growth gives us good indications that the following few quarters should track along a positive trajectory. In fiscal '22, we look forward to maintaining the strong momentum that is defined this past fiscal year, we expect an accelerating demand for the technology systems that address current shortcomings in legacy supply chain operations and feel poised to gain market share as this demand turns to investment. We are in an excellent position to be able to pursue major short term and permanent market opportunities in healthcare and the digital economy and to continue aggressively building our market presence domestically and in key international markets. In general, Tecsys is well prepared at exactly the right time to maximize emergent opportunities across verticals. To best equip ourselves to exploit these market opportunities, we will accelerate investment in channel and direct sales development and marketing programs to gain more market share rapidly. The growth of our partner network continues to provide excellent opportunities to us and we believe them to be instrumental as we scale globally. Our fruitful partnerships are positively impacting our pipeline, where partner influence has grown from 7% to 19% of total SaaS ARR pipeline year-over-year. Expanding on the success of fiscal '21, we continue to invest in building a world class strategic alliances program and to provide for our partners better governance, co marketing opportunities and assets accreditation tools and resources.  We expect this pipeline growth will translate into a significant impact on growth and new logo wins as we move forward, compounded by the idea that partner influenced accounts move more swiftly through the pipeline. Despite all the burdens and restrictions that framed much of our business activity, fiscal '21 was a very successful year. And based on our booking and backlog, our outlook for fiscal '22 appears solid. As the dust settles from COVID, we have a well resource sales and marketing organization that has been designed to support additional planned investment, a more mature partner ecosystem than ever before, and a pipeline that carries tremendous opportunity. By leveraging our team, our partners and our existing customers, both our slice of the pie and the size of that pie are growing. In summary, I want to highlight key themes for fiscal '22. First, we will continue to develop and expand our SaaS revenue model, in particular, an annual recurring revenue generation. Specifically, we would like -- we will likewise refine our internal processes and resources to complement this shift to SaaS in order to maintain high levels of customer satisfaction. Second, we will continue to mature our partnership ecosystem. The growth of our partner network continues to provide excellent opportunities to Tecsys. We see these strategic alliances as instrumental in expanding our global presence and capacity to scale rapidly. We are excited by the compounding returns of our focus on partners.  Third, we will expand our sales and marketing team aggressively and continue to invest in research and development to be in the best position to effectively exploit the accelerating market opportunities. This accelerated expansion will impact margins on a temporary basis. But given the monumental opportunity that exists as COVID moves into the rearview mirror, we believe the results will be desirable for shareholders. Finally, we will cross pollinate our software offerings and refine our go-to-market strategy in order to sharpen the value proposition to distinct market segments. We have incredible software assets that we believe are under leveraged in some of our markets. This will allow us to broaden our software offering to existing customers, and attract new customers with a wider scope of industry tailored functionality. Changes what drives our business and we have just undergone a once in a generation change that has exposed multiple critical supply chain execution deficiencies. We have an incredible opportunity to address the most pressing challenges today in healthcare and converging distribution markets. Our target markets are in need, our software is ready, our sales and marketing teams extended by our partners are groomed and geared up. And we're looking forward to a great year ahead. With that, we will open up the call for questions. Thank you.
Operator: [Operator Instructions] And our first question is from Amr Ezzat from Echelon Partners.
AmrEzzat: Peter and Mark, good morning. Congrats on another solid year. Very nice rebounds on SaaS bookings for the quarter. You spoke to a few new logos. But just wondering if the booking strength is broad based or your specific client that contributing the lion's share of that.
PeterBrereton: Good morning, Amr. No, it was pretty broad based, like little bit a number of new accounts in there are cross sectors. We were really happy to see two new IDNs join us in the quarter. Obviously, that's a critical sector for us. But no, there was no, there's no elephant in there. It was pretty broad based. 
Amr Ezzat: Okay, that's good to hear. On revenue mix, it's now a couple of quarters of very strong third party products, anything to read there or is it just where you guys are in the delivery cycle.
Peter Brereton : Mark, I don't know, you may want to comment on that. I mean, I generally what we're seeing is that, particularly in the healthcare sector, we are starting to see more extensive rollout in clinical areas. That more extensive role in clinical areas is in turn driving some sales of additional hardware from RFID-based product to even basic storage type stuff for those clinical areas. So that's having an impact. Coming out of Covid too, I think you're going to see a little bit of ebb and flow around third party. Over in Denmark, for instance, there were few months where, virtually nothing shipped because the country was in lockdown. And then there was some catch up as it came into lockdown, and so on. So I think you're going to see that bounce around a little bit. There are also shortages, right? So your some quarters are impacted by shortages of chips and that kind of thing. And then, suddenly we get a bit of a catch up, and it all blows out. So I think that number is just going to bounce around for a while.
Amr Ezzat: Okay. On professional services, I guess you guys maintaining closer record numbers and that's despite the FX headwinds. Are you at maximum utilization now? Then, related to that we've been seeing a lot of companies in and out of tech struggle with labor shortage in IT. What challenges are you guys facing and how are you dealing with it? 
Peter Brereton : We are near capacity, I would say now in professional services, but we're not at it. We expanded pretty dramatically during the year, during fiscal '21. There were times during the year where we were sort of, really short on resources. We caught up towards the end of the year. We're now seeing booking of services, rolling in, fairly strongly at this point so the -- there is really the little bit of capacity we have available there I think will get taken up in the next sort of 60 to 90 days. So we're back -- recruiting again in that space. I mean, we never really stopped. It sort of slowed down around Q4, we're picking up the pace again now. Now, Amr, You had a second part of that question, what was the second part of the question?
Amr Ezzat: Yes. Just like we're seeing a lot of like IT labor shortage, like, if you could kind of comment on it maybe like cost inflation and --?
Peter Brereton : Yes, you know what, we’re doing okay on that front. We brought in to a couple of dedicated recruiters that have joined our HR team last year. We added another one in the US a few months ago. And that team is just doing a phenomenal job for us. It is an active market, you've got to be competitive, you've got to be a great place to work; you've got to provide good career opportunity. But, thankfully, we do that, we provide good career opportunities to have fun place to work. And with these three recruiters, as well as of course, Mark, and I've been such a nice guys, it just helps people want to work here. 
Amr Ezzat: Fantastic. I believe it was you Peter, you said that in Q4 alone, you had a 12% headcount increase in sales and marketing. I see like quarter-on-quarter the sales and marketing expenses up from 11%. Just wondering how much of that headcount increases already reflected in your Q4 numbers?
Mark Bentler: Yes, a lot of those hires were definitely not fully loaded into that quarter, which was kind of the point of that comment. In fact, one of those hires even started in Q1 of this year. So that hasn't quite caught up to that run rate number yet.
Amr Ezzat: Okay, great, maybe one last one, Peter, maybe you could give us an update on the capital allocation strategy, you're sitting on a good amount of cash; the business is now generating good free cash flow as well. I think last time, you've updated us a couple of quarters ago, you guys had your hands full executing on organic opportunities, if that's the message I took. So what are you guys thinking now and how's the M&A pipeline looking?
Peter Brereton : Yes, we actually are putting an increased focus on building out a pipeline in Western Europe to further expand in Western Europe. But our overall sort of position hasn't changed. If you look at our bookings, over the last few years, take sort of the last three years, and it's a bit tricky, because your -- the first year of those, let's say last three years was much more license revenue based, and then we begin the transition to SaaS, and this was last year was most -- was pretty much SaaS, but if you sort of normalize that and say, okay, what are the bookings?  How many new seats are we selling, how many new human beings coming onto the platform kind of thing and normalized for the shift in revenue strategy. We've been growing our bookings; it's sort of 50%, 50% to 60% a year over the last three years. So that what we're seeing is, it's taking a couple of years for that to turn into revenue growth. So we've seen there, the actual revenue growth numbers are declining, we've seen pretty strong climb in the SaaS side. So we're looking at that and saying if when you're growing your bookings at 50% a year, you don't really need acquisitions to create huge value for shareholders. At the same time, in support of those bookings, we still need stronger coverage in Western Europe. So we're trying to sort of balance this off, Berty is back, working very aggressively on trying to build out a pipeline of opportunities in Western Europe. If we tap into that cash pile, I think that's where it'll probably go. But the focus still in the -- is very much protecting and enhancing that organic growth.
Operator: Our next question is from Nick Agostino with Laurentian Bank Securities.
Nick Agostino: Yes, good morning. I guess there are a couple of questions for me. When we look at the professional services number, obviously it's a little bit of bookings after that, there's a decline or where -- can you -- you talked about saying that it is somewhat timing related of capacity in part, and then you I think Mark you highlighted there was a SaaS deal you signed into fiscal Q4, but the associate professional services component was applying to a fiscal Q1, if I heard correctly can you just quantify, maybe how much that piece of business was on the professional services side?
Mark Bentler: Yes, Nick, I would say, I wouldn't be comfortable commenting on a particular deal size, but I would sort of color it this way. Our current quarter PS bookings right now, like as of the end of June are almost caught up to what we did in Q4 last year.
Nick Agostino: Okay. That's helpful. And then I think last quarter, we talked about pipeline activity that I think about fiscal Q3 it sounds like it was dropping off towards the tail end of that quarter; for fiscal Q4, at least the beginning part of that quarter was very strong. I think halfway through the quarter, you said the activity was equal to what you did in fiscal Q3, if I recall correctly. Can you just maybe talk us through how the rest of that was played out? And more importantly, how just the Q1 is looking for you sort of pipeline activity.
Peter Brereton : Yes. I mean the sales activity, the pipeline activity is actually I mean, there's certainly entire sales team is very, very busy right now. So there seems to be a catch up in demand that has happened, projects that were originally intended to be initiated in calendar 2020, decisions were made to delay until they were sort of out of the worst of the pandemic and back to some sense of normal. Those seem to be now going into high gear. At the same time, there are still all the usual challenges of actually finally getting the deal signed, these are -- these tend to be fairly complex legal agreements. And our legal teams right now are backlogged with getting agreements done. It's not only purchases like ours that were held up, but a lot of projects were held up. As those are all now being greenlit, you end up with just the contracting and procurement process becoming the bottleneck. So we're working through that now. We were pleased to see what closed in Q4. If you look at Q4 of '21 versus Q4 of '20, it -- I mean, once you adjust for currency it's, I don't know what the final math would be. But once you adjust for currency Q4 of '21 might have even been ahead of Q4 of '20. And as we come into Q1 of '22, we don't know yet how the quarters can and of course, we still have a month to go and our quarters are still somewhat hockey stick in terms of how the bookings come in. But the pipeline activity is certainly very exciting. I don't remember in June, where we were anywhere near this busy.
Operator: Our next question is from the line of John Shao with the National Bank.
John Shao: Hi, this is John from National Bank. Congrats on the strong quarter here. So the first question is with vaccine rollout and we're opening the North American part of Europe. Could you please just give us an update on your business activities in quarter so far? And in other words, how would you actually look at the growth trajectory in a post pandemic scenario?
Peter Brereton : Yes, tough question. I mean, because we've got all these various, sort of all these various factors that come into effect the growth trajectory, we, I mean, last year, fiscal '21, we had an effective exchange rate really of a $1.35 on the US dollar. If you look at where we're at today, that was a combination of sort of actual exchange rate through the year and our hedging strategy gave us an effective rate of over $1.35. This year, we're likely to have an effective exchange rate of what sort of $1.3 something like that. So you're dropping from $1.35 to $1.23. That's 12 points down on 70% of our revenue, so that sort of pulls the revenue trajectory down. On the other hand, as I mentioned, we've had sort of three years of very substantial bookings growth and that is sure washing through into revenue. And our pipeline is not only larger than it's ever been, but it's moving faster than it's ever been. We're seeing, even in healthcare, we're seeing deals enter the pipeline and get through to contracting in six months. We've never seen that happen. Typical healthcare deal in a few years ago was 18 to 24 months to get it from initial contract to signing so a lot of changes happening. We don't give forward projections, beyond sort of; we do give us a bit of a projection on what we think professional services revenue will be in the next quarter. Because that's more predictable for us, but we don't give sort of overall growth projections going forward. But so we're looking at this year and saying, looks like a pretty exciting year, we expect a strong year for bookings, the actual revenue number will be impacted by currency. But, all in all, it looks like a good year for value creation. I'm sorry, if that seems like an evasive answer. But I think that's the best I can do for you.
John Shao: Yes, that sounds great. Thanks. And speaking of healthcare, I guess, that actually draws a lot of interest from the investor because of the vaccine rollout. Maybe just give us some detailed example of how Tecsys solution could play in administration of vaccine. Does that require any modification or just a plug in and play?
Peter Brereton : No, that was, I mean, we were -- we actually rolled out a small module to help pass over our customers with actual vaccine administration, but in fact, just due to the speed with which this thing hit, and even the uncertainty around timing of vaccines, and then when they finally rolled out, they rolled out so on mass. Most customers and organizations, and governments just stuck with whatever they had. So you're -- we've seen -- we actually were involved in a lot of discussions with a lot of clients, but in the end, most of them just stuck with, say whatever electronic medical record system they had, or, in some cases literally using, spreadsheets and paper based systems to track their stuff. So we didn't really ended up doing much of business directly related to vaccine distribution. There's a little bit of it, but not a lot.
Operator: Our next question is from the line of Steven Lee with Raymond James.
Steven Lee: Thank you. Hey, Peter on healthcare, again, how many sales reps you have currently? And maybe, how many do you expect by a year end this year?
Peter Brereton : We started fiscal '21 with five dedicated healthcare reps, we ended fiscal '21, with 10 dedicated healthcare reps. And at this point, Mark, I think in our plans, we expect to end fiscal '22 now with sort of 14 or 15, right, I think is the current level. So we've actually -- we had been talking about trying to get to 12, by the end of this past year, and then to be at 20 by the end of this coming year, we're seeing that the efficiency of a given rep is rising enough that we think, the 10 we ended the year with and that sort of 14 or 15, by the end of this coming year is more appropriate, given the volume of business that it seems that a single rep can drive.
Steven Lee: So then is it a straight line relationship or even better based on your comments? If so, if you're signing 67 new IDNs per year right now, and you double your headcount. So once we are up to speed, you fully expect to sign 14-15 IDNs per year.
Peter Brereton : That's the objective. In fact, I mean, if you look over the next few years, we were currently in the low 40s, whatever we are 44 or 45, IDNs or something like that. We, our objective here is over the next sort of four years to get to 100 IDNs. And we think if we can get to 100 IDNs that puts us in a position where we effectively sort of own the healthcare supply chain market, I mean, that just puts you in such an unassailable position. So that's the objective to get there we would have to get to that kind of level. And that's what we're aiming towards. So if two years from now we're closing, sort of 12 to 15 a year and by three, four years from now, we're closing 18 to 20 a year. That would be, I think that would be a very good result.
Operator: Our next question is from Gavin Fairweather with Cormark.
Gavin Fairweather: Hey there. Good morning. I just wanted to start out on the channel, you provided some good stats in terms of the number of partner influence deals in the pipeline, I guess I was more curious on the service delivery side, what maybe portion of the services are being implemented and delivered now by channel versus your internal team and how you expect us to shift over time just given, some of your commentary around running pretty flat out on your internal capacity.
Peter Brereton : Yes, interesting question. I mean, we try to estimate that a little bit based on what we know of our partners revenue off of our projects, it's hard to be precise, because of course, that revenue doesn't go through our books. But if I were to hazard a guess, based on projects that are going on now, I would say somewhere around 30% of the services is now being carried by our partners. What makes it harder, even harder to judge, of course, is some of the work being done by our partners is work that in other cases is actually done by the clients themselves. And they just have to decide, are they going to do it with their own in house people? Are they going to use, consultants to help them get it done. So it is hard to be precise. But it's rising. We got Avalon right here in Toronto, Montreal, for instance, they are at a point where they can do 70%, 80% of the project. So we're typically still involved in actual software config and that kind of thing. But they are carrying, the bulk of the project in a number of cases. In other cases, some of the larger size, they are tending to focus more on project management, change management, end user training, that kind of thing, and we still carry a more substantial portion of those projects. So it's -- it varies, but if I were to give you a number, I think it'd be around 30% of the total work being done is now being handled by partners. 
Gavin Fairweather: That's great. That's really helpful. And then maybe for Mark, I mean, the SaaS ARR continues to grow really quickly here, you're now over, $20 million on that ARR base. Can you just comment on kind of the gross margin profile at your current level of scale? And how you think about some additional kind of margin lift as that revenue line continues to grow?
Mark Bentler: Yes, I mean, we're still sub optimal on our SaaS margins, for sure, at these levels of scale. I mean, we're running SaaS margins that are sort of sub 60%. And we think with scale, we're doing some things with our development investment to make the platforms operate more efficiently on public cloud infrastructure on AWS, and Azure, which is the public cloud infrastructure that we use; we think that will bring the cost of that portion of our SaaS business down. And we also think that, as we continue to scale up in size, our ability to get better pricing and discounting on that those infrastructure costs are going to increase. So we're focusing a lot of development energy on this, as well as making sure that our cloud operations team can scale and creating that organization investing in that organization. So that it's robust and can scale well. And I think that's where we see real potential and going from sort of sub 60 to high 60s; I think is probably reasonable, maybe even conservative.
Operator: Mr. Brereton, we have no further questions at this time, you may continue with your presentation. 
Peter Brereton : Great, thank you. Well, that concludes the question answer session. So thank you for taking the time to join us on today's call. Somehow, this Q4 year end call always seems to be a very long script. So I apologize for that as we tried to sum up Q4 and the full year, but I promise the Q1 script will be shorter. As always, if you have any additional questions, please don't hesitate to give Mark or I call. We look forward to talking to you at the end of the summer to discuss our first quarter results. Thanks and have a great day.
Operator: And that does conclude the conference call for today. We thank you all for your participation. I kindly ask that you please disconnect your lines. Have a great day.